Operator: Thank you for standing by ladies and gentlemen and welcome to the Euroseas’ Conference Call on the Fourth Quarter 2019 Financial Results. We have with us Mr. Aristides Pittas, Chairman and Chief Executive Officer; and Mr. Anastasios Aslidis, Chief Financial Officer of the company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session [Operator Instructions] I must advise you that this conference is being recorded today. Please be reminded that the company announced their results with a press release that has been publicly distributed. Before passing the floor to Mr. Pittas, I would like to remind everyone that in today's presentation and conference call, Euroseas will be making forward-looking statements. These statements are within the meaning of Federal Securities laws. Matters discussed may be forward-looking statements, which are based on current management expectations that involve risks and uncertainties that may result in such expectations not being realized. I kindly draw your attention to Slide number 2 of the webcast presentation, which has the full forward-looking statement and the same statement was also included in the press release. Please take a moment to go through the whole statement and read it. And now I would like to pass the floor to Mr. Pittas. Please go ahead, sir.
Aristides Pittas: Good morning ladies and gentlemen, and thank you all for joining us today for our scheduled conference call. Together with me is Anastasios Aslidis, our Chief Financial Officer. The purpose of today's call is to discuss our financial results for the three and twelve months period ended December 31, 2019. Let’s move to Slide 3 to see our income statement highlights. For the fourth quarter total net revenues were $13.3 million, net loss was $0.8 million, net loss attributable to common shareholders after the $0.2 million dividend on Series B Preferred Shares was $0.9 million, or $0.18 loss per share basic and diluted. Adjusted net loss attributable to common shareholders for the period was $1.6 million or $0.32 per share basic and diluted. Adjusted EBITDA was $1.2 million. I have to say that in this quarter we had to be drydocking of our biggest ship the M/V Akinada, which resulted in the significant – contributed to the results of this quarter negatively. Please turn to Slide 4 for details of our fleet expansion activities. The company is focused on its strategy of providing a public consolidation platform. We continuously evaluate opportunities that would allow us to expand or renew our fleet. This has already happened twice during the last two quarters with the addition of eight additional container ships in cash and share transactions, one in August and one in November 2019. Specifically, in August 2019, we acquired four vessels from affiliates, EM Hydra and EM Spetses both 1,700 teu vessels, EM KEA is 3,000 teu vessels and M/V Diamantis P 2,000 teu vessels were delivered to our fleet in the beginning of August 2019. Their average age is about 14 years. The vessels were bought through a combination of cash and shares issued to the affiliates at $5.68 per share based on current share prices after the reverse split. The transaction was approved by a committee of disinterested independent members of the board. At the time of acquisition, these vessels reduced the overall average age of the fleet by more than a year and increased fleet size by more than 35%. This transaction was followed in November 2019 with the transaction we did in acquiring four panamax intermediate sized vessels of 4,250 teu built in South Korea and with average age of 10 years from Synergy Holdings Limited, a totally unrelated party. Again, we acquired the vessels for cash and shares issued at the same price of $5.68 per share equally to the seller and some affiliates. The acquisition of a younger fleet reduced the overall average age by almost two years and increased fleet size by more than 25% in terms of number of vessels and about 50% in terms of carrying capacity. Please turn to Slide 5, where you can see our current fleet profile after the latest additions. Our fleet is comprised of 19 vessels, which include 14 feeder container ships and 5 intermediate containers with an average age rated by teu of 15.8 years and a carrying capacity of 660,000 deadweight tons and 51,000 teus. Please turn to Slide 6 for our chartering, operational and drydocking developments during the quarter. Akinada Bridge was fixed for a period of minimum February 10, 2020 to maximum May 20, 2020 at $16,500 a day. We have recently received charterers redelivery notice for February 29 and are seeking a new employment. The Evridiki G was extended for a period of minimum September 1, 2020 to maximum November 15 at $10,250 per day. The EM Athens was chartered at $9,250 per day until mid-October to mid-November 2020. The Aegean Express was extended for a period of 140 days to 180 days at $7,500 per day. The Ninos were fixed for three to five months at $7,750 per day as was the Kuo Hsiung. The EM Corfu was extended until minimum November 15, 2021 at $10,250 per day and the EM Joanna was extended for a period of 12 to 14 months at $8,050 per day. All these fixtures were approximately at similar levels on average to the expiring time charters. Regarding our operations, repairs and drydockings, the Akinada Bridge drydocking and repair lasted 65 days in drydock between 24th of September to 28th of November. After redelivery from her charterers and en route to the shipyard to perform her scheduled drydock and water ballast installation, the ship suffered a stern tube bearing damage, which caused a delay of about 30 days to her initial schedule and consequently the cancellation of the event charter. The cost of the repairs of about $600,000 is fully recoverable under the company’s Hull and Machinery insurance policy. On January 19, 2020, there was an engine room fire on EM Oinousses while sailing off Mozambique carrying empty containers. The fire was extinguished but the vessel lost power and was towed to Nacala. General average was declared. Surveyors from various insurers boarded the vessel to assess the extent of the damage. We are waiting for the final reports to take the appropriate course of action, but we expect insurance to cover the majority of the costs. Slide 7 shows our vessel employment as of February 1. We have about 40% coverage for the remainder of 2020 based on minimum periods. Please turn to Slide 8. Over the last five years, our operational and fleet utilization has been on average about 99%. Euroseas has an understanding safety and environmental record, but at the same time the company is managing to keep costs low despite running a node, the fleets of the average company. For the fourth quarter of 2019, operation fleet utilization was 99.7% compared with 99.9% the same period last year. Commercial fleet utilization in the fourth quarter of 2019 was 100% compared to about 91% the same period last year. The graph on the page compares daily costs excluding drydocking since 2011 with our peers. As you can see, overall our costs remained among the lowest of the public shipping companies. Let's now turn to Slide 10 to discuss the market highlights of the fourth quarter and the beginning of this year. Time charter rates in the fourth quarter for feeder and intermediate size vessels ranging from 1,000 to 5,600 teu vessels had a mixed picture as the 1,700 teus fell about 3% while the bigger ships rose from 7% to 18% as you can see in detail on this slide. Whilst January started out rather strong lead from the outbreak of the coronavirus epidemic, rates have started correcting and are back to level similar to where they were at the start of Q3 2019. Average secondhand prices for older than 20-year-old vessels remained around their scrap prices in the fourth quarter, however, for younger vessels of about 10 years old there was a rise around 5% for the 1,700 teu ships and a drop of 5% for the 2,500 teu ships. New building prices, Tier 2, no scrubber, China built, remained stable at around $23.5 million and $29 million for the 1,700 and 2,500 teu vessels, respectively, but the truth is we have not seen lately any new deals in the markets. The Idle fleet was 1.4 million teu as of February 3, 2020, about 6% of the fleet. This includes idle due to scrubber retrofitting, mostly larger vessels of about 1 million teu. Scrapping remained at the same levels as in the third quarter relatively low for the current market. Total of about 180,000 teus scrapped in 2019, i.e., about 0.8% of the fleet. Overall, the fleet grew by 4% in 2019 without accounting for idle vessels reactivation. Please turn to Slide 11. The IMF projected world GDP growth in 2020 is down to 3.3% from 3.4% in the previous quarter, but still 0.4% higher than the growth in 2019. The IMF’s prediction for the Chinese GDP growth was an increase of 6% – to 6% from 5.8% previously. However, this was just before the Coronavirus to arose, which analysts predict we have a damping effect on the Chinese growth of at least 0.5% on [indiscernible] and about 2% on Q1 growth. For the advanced economies that our vision to U.S. growth for 2020 reflects the slightly less strong performance of 2% compared to 2.1% in the previous quarter. Similarly predictions for Eurozone are expected at 1.3% just a bit lower than the 1.4% expected in October. Indian growth has been lowered to 5.8% from 7%, but Brazilian growth is now expected at 2.2% a slow uplift from 2% previously. For 2021, the IMF predicts a healthy global growth rate of 3.4% while for the U.S. it is expected to scale back to just 1.7%. Growth in the euro area is expected to say the same at 1.4% whereas the 2021 forecast for the major countries of the rest of the world is expected to be slightly higher in 2021 than 2020 except for Japan and China where a slight reduction is expected. In terms of demand for containerized trade, demand measured in teu per mile is expected by Clarksons to grow less compared to world GDP and settle around 2.4% in 2020, similarly to 2019 when demand growth of 1.7% was the third lowest in container history and lower than the actual global GDP growth. These figures are quite a bit lower than the expectations three months ago. It is extremely difficult to forecast trade and growth projections with any degree of confidence at the moment as the coronavirus affects are still very uncertain. Please turn to Slide 12 to review the containership age profile and orderbook delivery schedule. As you can see on the containership age profile chart on the left side of this slide, it shows the young fleet with a mere 5.5% of ships being over 20 years old. It is important to note that the vast majority of these vessels are feeder vessels. On the right side, the chart shows the delivery schedule of the current containership orderbook, which is expressed as a percentage of the fleet. Please note that the figures above the past years, 2015 to 2019, reflect actual fleet growth after scrapping and slippage. Whilst for 2020 onwards, slippage and scrapping are not accounted for. The deliveries are expected to be around 4.5% in 2020 and 3.9% in 2021. The actual fleet growth is of course expected to be less due to slippage and scrapping. If we try and assess what's the fleet growth in the feeder sector will be in 2020 after taking account of expected scrappings and slippage, we would expect the growth of less than 4%, which is a bit less than the 5% expected demand growth in the feeder sector. Let's turn to Slide 13. The left side of the slide shows the evolution of the one-year time charter rate for containers of 1,700 since 2000. Since the financial crisis of 2008, rates stayed rather depressed with three spikes within the $5,000 to $12,000 per day range. Currently, we are covering the charter rate slightly below the median levels. On the right hand side of this slide shows vessel values in relation to historical prices since 2000. As you can see containership values are still below the median historical values and of course significantly lower than historical average. Therefore, in our view, this is more a buying opportunity than a selling one based on where historical prices are. The fundamentals also looked quite good until the coronavirus epidemic emerged. As the facts that vessels would be out of service for installing scrubbers, we estimated 1.9% of the fleet is expected to be absorbed in 2020 in such it retrofits overall coupled with the slower steaming speeds to help deal with generally rising fuel prices and the efforts to control carbon emissions. Together with signs of a slightly growing demand, all pointed towards a strengthening market in 2020 and even more so in 2021 when deliveries of new vessels [indiscernible]. We continue to believe this will be the most probable outcome, but we’ll closely monitor the coronavirus situation and adapt our growth strategy as things become clearer. And with that I will now pass the floor to our CFO, Anastasios Aslidis, to go over our financial highlights.
Anastasios Aslidis: Thank you very much, Aristides. Good morning from me as well, ladies and gentlemen. I will take you the next four slides to give you an overview of our financial results for the four and twelve months period ended December 31, 2019. The figures that we will review at least as for full-year is concerned we refer to the continuing operations of Euroseas, that is we stripped out the contribution of vessels that were spun-off in May 2019 in EuroDry. Let's start by looking at Slide 15, for the fourth quarter of 2019, we reported total net revenues for $13.3 million representing a 66% increase over total net revenues of $8 million during the fourth quarter of last year. We reported net loss for the period of $0.8 million and a net loss attributable to common shareholders of $0.9 million as compared to a net loss of $0.5 million, net loss attributable to common shareholders of $0.8 million respectively for the fourth quarter of last year. Adjusted EBITDA for the fourth quarter of 2019 was $1.2 million unchanged from the fourth quarter of 2018. Basic and diluted loss per share attributable to common shareholders for the fourth quarter of 2019 was $0.18 calculated on 5.03 million basic and diluted weighted average number of shares outstanding, compared to basic and diluted loss per share of $0.53 for the fourth quarter of 2018, calculated on 1.48 million basic and diluted weighted average number of shares outstanding. These shares count that I mentioned reflect the one for eight reverse stock split that took effect on December 19, 2019. Excluding the effect on the loss attributable to common shareholders for the quarter of the unrealized gain on derivatives and the amortization of below market time charters acquired, the adjusted loss attributable to common shareholders for the quarter ended December 31, 2019 would have been $0.32 basic and diluted compared to $0.55 basic and diluted for the quarter ended December 31, 2018. Usually, security analysts do not include the above items in their published estimates of earnings per share. Moving now to the right part of the slide to talk about the full year results of 2019. For the full year of 2019, we reported total net revenues of $40 million representing a 16.3% increase over total net revenues of $34.4 million during last year. We reported a net loss for the year of $1.7 million and a net loss attributable to common shareholders of $3.5 million, as compared to net loss of $0.7 million and a net loss attributable to common shareholders of $2 million, respectively, for the twelve months of 2018. The results of 2019 include $0.9 million of amortization of below market charters acquired and $0.04 million of unrealized gain on derivatives. The results for the twelve months of 2018 include a $1.3 million gain on sale of a vessel and $0.2 million of unrealized gain on derivatives. Depreciation expense for the twelve months of 2019 was $4.2 million compared to $3.3 million during 2018 and that is due to the increased number of vessels in the Company’s fleet. Adjusted EBITDA for 2019 was $5.3 million compared to $4.3 million for 2018. Basic and diluted loss per share attributable to common shareholders for the twelve months of 2019 was $1.21, calculated on 2.86 million basic and diluted weighted average number of shares outstanding compared to a net loss of $1.41 for the twelve months of 2018, calculated on 1.4 million basic and diluted weighted average number of shares outstanding. Again here, excluding the effect on the loss attributable to common shareholders for the year of the unrealized gain on derivatives and the amortization of the below market time charters acquired, the adjusted loss per share attributable to common shareholders for 2019 would have been $1.52 compared to adjusted loss of $2.51 for 2018, a year during which we excluded the gain from the sale of a vessel. Again as I previously mentioned, security analysts do not include the above items that we based our adjustment in their published estimates of earnings per share. Let’s now turn to Slide 16 to review our fleet performance for the fourth quarter and full year of 2019 and compare them to the same periods of last year. Let's start first with our three month numbers and first look at our utilization rates. As usual, we have broken down the utilization rate in commercial and operational. As you can see on the left hand side of the slide for the fourth quarter of 2019, we reported 100% commercial utilization rate, a 99.7% operational utilization rate, as compared to 90.8% commercial and 99.9% operational utilization rate for the same period of fourth quarter of 2018. I want to remind you here that our utilization rate calculation does not include vessels in scheduled drydocks, schedule repairs or in layout if any during the reported period. In the fourth quarter of 2019, we operated an average of 16.84 vessels, with the time charter equivalent rate of $9,085 per vessel per day, compared to a time charter equivalent rate of $8,577 per vessel per day that our vessels earned in the same period of 2018, a period during which we operated 11 vessels on average. Total operating expenses, including management fees and general and administrative expenses, but excluding drydocking costs were $6,182 per vessel per day for the fourth quarter of 2019, compared to $5,782 per vessel per day for the same period of 2018. As Aristides mentioned earlier, we believe we maintain one of the lowest operating cost structures amongst our public peers. And we think this is one of our competitive advantages in the business. Let's now look at the bottom of the table to our daily cash flow breakeven levels presented here on a per vessel per day basis. So, for the fourth quarter of 2019, we reported an operating cash flow breakeven level including loan repayments, but before any balloon repayments of $9,133 per vessel per day, as compared to $7,838 per vessel per day during the fourth quarter of 2018. Let’s now look at our 12 month figures for 2019 in the right part of the table. For that period for the full year, we reported a 99.2% commercial utilization rate and 100% operational utilization rate compared to 96.7% and 96% respectively for the same period for the full year of 2018. We operated during the year an average of 13.1 vessels, a reported time charter equivalent rate of $8,762 per vessel per day, compared to a time charter equivalent rate of $9,179 per vessel per day during 2018, a period during which we operated 11.49 vessels on average. Total operating expenses, again including management fees and G&A expenses, but excluding drydocking costs for the year were $6,294 per vessel per day for 2019, compared to $6,225 per vessel per day for 2018. Again looking at the bottom of the table our daily cash flow breakeven level for the year of 2019 was $8,870 per vessel per day compared to $8,465 per vessel per day during 2018. Let's now move to Slide 17. This slide shows on the right hand side our cash flow breakeven level expectation for the next 12 months – and I will return to that in a second and on the left side we can see our scheduled debt repayments over the next several years. As you can see from the chart on the left part of the slide, we have loan repayments of a bit more than $17 million in 2020, including about $5 million of loans that could be repaid in shares under certain conditions. In 2021, we will repay, we have to repay in addition to our normal loan repayments a balloon repayment of $19.2 million for a loan that covers nine of our vessels. And similarly in 2022 we have to pay a balloon of $1.7 million and more balloons in 2023. We believe that we can refinance those balloons as we have done in the past when the time comes. Expressed in dollars per vessel per day our loan repayments over the next 12 months amount to about $1,850 contribution to our cash flow breakeven level, again not including the $5 million repayment to an affiliate that could be paid in shares as I mentioned earlier under certain conditions. Looking now at the right part of the slide and the table there and making assumptions for the remaining components of our cash flow breakeven that is operating expenses, G&A expenses, interest, drydocking and our preferred dividend, we come up with an overall cash flow breakeven level for the next 12 months of $9,050 per vessel per day. Let's now turn to Slide 18, for me to give you some highlights from our balance sheet. As of December 31, 2019, we have cash and other assets of about $10.6 million. The book value of our vessels was about $116 million and we estimate that was about 15% below their market value as of the end of December. On a book basis our total assets were approximately $127 million. Again, as of the end of the year, we had an outstanding bank and other debt of about $90 million. Preferred equity outstanding of about $8 million and other liabilities of about $7.5 million for a total liability of about $106 million, resulting in a net book value of about $21 million as per our balance sheet at the end of the year. If we adjusted our net book value for the market value of our vessels and as I mentioned earlier we estimate that is about 15% above their book value. Then our net asset value would be in the order of about $38 million or about $6.75 per share. Last, the recent share price trading range of our stock of just around $3.25 represents a level that is a significant discount to the value – to the intrinsic value of our company. And with that I would like to turn the floor back to Aristides to manage the remaining of the call.
Aristides Pittas: Thank you, Anastasios. Let me open up the floor for any questions you may have.
Operator: [Operator Instructions] We'll now take our first question from the line of Tate Sullivan from Maxim Group. Please go ahead.
Tate Sullivan: Hi. Good day. This is Tate Sullivan from Maxim Group. Good morning. The first question if I may on the balance sheet and the comments about paying off some of the current debt with shares. Is that, can you talk about, I see there's a related party loan, current amount $5 million and then due to a related company about $0.8 million. Is it the total of potential shares issued, the current stock price divided by that amount or can you clarify that please? And when is the timing potentially for that?
Anastasios Aslidis: These loans to the affiliates, as we mentioned, are to be paid within 2020. There is – one loan has scheduled repayments, four repayments, one every quarter. The other one needs to be paid in a balloon, in a bullet form at the end of the year. We have to make payments in cash, exceptive – if there is limited liquidity of the company, in which case we might – the company might elect to pay in shares at the price of the shares at the time, we'll show in adjustments.
Tate Sullivan: Is there any potential discussions with other lenders to extend that debt or is that on your longer term facilities or how does that pair with your longer term debt?
Anastasios Aslidis: I don't think – these are amongst junior to our longer term debt and based on our understanding of how our trends or financial trends are going to be, we expect to make full payment of the loans in cash.
Tate Sullivan: Okay. So in your forecast, expect with cash. Okay. And then also in the ship summary, and I apologize if I missed it in your comments to the current ship that you list that is still undergoing repairs, when do you, can you comment again when you expect that to re-enter the fleet, your active fleet?
Aristides Pittas: For that we cannot yet tell you when we expect that to happen because the surveys are still being evaluated, the surveyors comments, the vessel will need to go to a shipyard to undertake these repairs. So it will be, I can tell you at least 30 to 50 days, till we are able to use the vessel.
Tate Sullivan: Okay. And then the acquisitions, the most recent one in November and last for me, I apologize, is a, all the shares issued for those acquisitions and the cash out the door for those – is that all fully complete?
Anastasios Aslidis: Correct, that is fully complete, yes.
Aristides Pittas: Both the acquisitions are fully complete yes.
Tate Sullivan: Okay, great. Thank you. Have a good rest of the day.
Aristides Pittas: Thank you, Tate. [Operator Instructions] There are no more questions coming through, so I would like to hand the call back to Mr. Pittas.
Aristides Pittas: Well, thank you all for participating in our today's call. We will be with you again in three months time to discuss how the first quarter ended and how things are developing. Thank you very much. Bye-bye.
Anastasios Aslidis: Thanks everybody.
Operator: Thank you. That does conclude today's conference. Thank you for attending you may now disconnect.